Operator: Good day, and thank you for standing by. Welcome to the Addex Therapeutics Half-Year 2024 Financial Results and Corporate Update Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be the question-and-answer session. [Operator Instructions] Dear participants, due to the technical issues today, please use the download button to download the presentation from the download menu and follow it. Thank you so much. And now I would like to hand over the conference to your speaker today, Tim Dyer. Please go ahead.
Tim Dyer: Hello everyone. I would like to thank you all for standing by and attending our half-year 2024 financial results conference call. I'm here with Misha Kalinichev, our Head of Translational Science, who will be providing an update on our R&D programs. I draw your attention to the press release and the financial statements issued earlier today, which are available on our website. Unfortunately, there has been a technical issue with loading the presentation to the webcast system, so please use the download button in order to download the presentation. We will be indicating slide numbers, so that you will be able to follow, hopefully. So on to slide three, the disclaimer slide. I also draw your attention to our disclaimers. We will be making certain forward-looking statements that are based on the knowledge we have today. I will start this conference call by giving a quick overview of our recent activities and achievements before reviewing our pipeline. I will then hand over to Misha, who will review in more detail some of our clinical and preclinical programs. I will then speak about the recent launch of Neurosterix before reviewing our half-year 2024 financial results. Following that we will open the call for Q&A. So moving to slide four, highlights. We launched Neurosterix with the Series A of $63 million led by Perceptive Advisors. This is an innovative financing transaction that provides us with the resources needed to advance our pre-clinical portfolio without diluting our shareholders' interest in our clinical stage assets and partnered programs. As part of the transaction, we received CHF5 million and a 20% equity interest in Neurosterix, securing the balance sheet and retaining significant upside in the programs for our shareholders. I will speak more about this innovative financing transaction later in the presentation. We have made excellent progress in our GABAB PAM program and our partner Indivior, has selected a compound for development in substance use disorders and will now take over operational responsibility for development. As a reminder, under the terms of the agreement, Addex is eligible for payments of up to $330 million on successful achievement of pre-specified regulatory, clinical, and commercial milestones, as well as tiered royalties on the level of net sales from high-single-digit up to low-double-digit. Under the terms of the agreement, we have exercised our right to select an independent compound to advance our own GABAB PAM program for the treatment of chronic cough. We have some exciting data in cough with our lead compound, which Misha will be sharing with you later in our presentation. Janssen Pharmaceuticals discontinued development of ADX71149 in epilepsy, our partnership remains ongoing, while the full data set from the Phase 2 study as an adjunctive epilepsy treatment is analyzed. Now moving on to slide five, the pipeline slide. Now for a quick review of our pipeline. As mentioned our partner in Indivior has selected a GABAB PAM drug candidate for development substance use disorders and expects to start IND enabling studies in the first-half of 2025. We are advancing an independent GABAB PAM program for chronic cough and expect to start IND enabling studies in 2025, subject to securing financing. We continue to believe in dipraglurant and are executing our plans to reposition the development for brain injury recovery. Neurosterix has made excellent progress in advancing its pipeline, including starting IND-enabling studies with its M4PAM program. Now I will hand over to Misha, who will give you some more details about our exciting portfolio.
Misha Kalinichev: Thanks, Tim. Hello everyone. I will start by speaking about dipraglurant in our plans for development in brain injury recovery. For the termination of the development of dipraglurant in PD-LID, we embarked on a detailed evaluation of a number of potential indications of interest for future development. We have completed this exercise and have identified brain injury recovery as an interesting indication for the future development. We believe the differentiated profile of dipraglurant makes it particularly suitable for enhancing the impact of rehabilitation in traumatic brain injury and stroke patients. Please move to slide seven. There is a large unmet medical need in post-stroke recovery and rehabilitation. Stroke is among the leading causes of chronic, often lifelong disability as it leads to motor sensory cognitive impairment and multiple comorbidities. There are over 100 million stroke survivors worldwide and the number is growing at the annual rate of 12 million. A variety of rehabilitation therapies are used with post-stroke patients, but the recovery is slow and often inadequate. There is an urgent need for pharmacological agents that can facilitate the recovery stimulated by rehabilitation therapies. Slide eight. mGlu5 receptor is a suitable target to address post-stroke recovery as it is densely expressed in the brain, involving neuroplasticity and modulate excitatory-inhibitory equilibrium. In fact, activation of mGlu5 has been observed in a range of neurological disorders, including stroke, where it plays a role in maladaptive rewiring of the brain following stroke. Inhibition of mGlu5, on the other hand, can facilitate adaptive rewiring of the brain, promoting neuroplasticity, and creating of new functional pathways, moving the neural network towards pre-lesion state. Slide nine. Exciting new evidence recently published in the journal Brain suggests that the negative allosteric modulator of mGlu5, MPEP administered daily in rats following stroke results in a sustained and growing improvement in sensorimotor function in comparison to vehicle treatment. Similar improvement in sensorimotor function was observed in animals treated with our mGlu5 non-dipraglurant. Please move to slide 10. MRI imaging of the resting state functional connectivity in post-stroke rodents shows that daily administration of MPEP also stimulates intra and inter-hemispheric connectivity in the brain, disrupted by stroke. It is important to note that improvement in brain connectivity after stroke is known to correlate with functional recovery and is observed across species. Slide 11. Dipraglurant is ideally suited to be used in tandem with rehabilitation therapies in post-stroke patients, as it has a fast onset of action and short half-life. It has shown good tolerability in healthy subjects and in Parkinsonian in patients showing only mild to moderate CNS-related adverse effects. We have a drug product ready and a strong patent position and believe dipraglurant can become a first-in-class drug to facilitate post-stroke recovery. We can also speculate that dipraglurant-mediated adaptive rewiring and facilitation of recovery following brain damage would also be seen in traumatic brain injury patients. Please move to slide 12. Let me now switch to our GABAB positive allosteric modulator program, which is partnered with Indivior. The aim of this collaboration is to deliver a better baclofen for substance use disorder. Slide 13. As a reminder, GABAB receptor activation has been clinically validated in a number of disease areas including baclofen, a GABAB allosteric agonist. Baclofen is FDA-approved for treatment of spasticity and is widely used off-label to treat numerous diseases, including substance use disorders. However, baclofen has a short half-life and comes with significant side effects, hampering its wider use. Thus, there is a strong need for a better baclofen. We believe this can be achieved with positive allosteric modulators and their differentiated pharmacology, having the efficacy of baclofen, but longer half-lives and improved side effects profile. Our partner Indivior has selected a GABAB PAM drug candidate for development in substance use disorders and expects to start IND enabling studies in H1 2025. Please move to slide 14. As part of our agreement with Indivior, Addex has exercised its right to select a compound to advance its own independent GABAB PAM program for the treatment of chronic cough. I will now present this exciting opportunity. Slide 15. There is a strong rationale for developing GABAB PAMs for chronic cough. Chronic cough is a persistent cough that lasts for more than eight weeks and can be caused by a variety of factors, including respiratory infections, asthma, allergies, and acid reflux, but also possibly by overactive cough reflux. There is a large unmet medical need in novel antitussive drugs as current standard-of-care are ineffective in 30% of patients or only moderately effective in up to 60% of patients. In addition, the current treatments carry risks of serious side effects. Slide 16. On the next slide, we show that GABAB PAMs are likely to have a superior tolerability profile in comparison to the current standard-of-care and show no taste-related side effects as seen with newly approved P2X3 inhibitor Gefapixant. Please move to slide 17. Support for using GABAB PAM in treatment of chronic cough comes from the clinical evidence that baclofen, a GABAB agonist, is used off-label in cough patients and from anatomical evidence that GABAB receptors are strongly expressed in airways and in the neuronal pathway regulating cough. Therefore, we believe that GABAB PAMs could offer superior efficacy in cough patients. Slide 11. The pre-IND activities including in vivo proof-of-concept, non-GLP talks, and CMC have been completed, and our clinical candidate has shown favorable efficacy, tolerability, and developability profiles. Our clinical candidate has demonstrated a consistent minimum effective dose of 1 mgs per kg ED50 of 6 mgs per kg in cold frequency. No signs of tolerance were seen after sub-chronic dosing and a ten-fold safety margin was demonstrated based on tolerability biomarkers. The IND-enabling studies are planned to start in 2025. Slide 19. The next set of slides describe the in vivo proof-of-concept studies in models of cough. In a model of citric acid induced cough in [Indiscernible], acutely administered Compound A delivered a robust antitussive activity profile, reducing the cough number and increasing the latency to the first cough. The antitussive profile of baclofen, the same model, was more modest as cough latency remained largely unchanged. Slide 20. In the same experiment, Compound A was better tolerated than baclofen, as there were no marked changes in respiratory rate, body temperature, and plasma concentration of growth hormone at up to 16 mgs per kg. In contrast, baclofen suppressed respiratory rate, reduced body temperature by near 22 degrees Celsius and increased growth hormone concentration in plasma, starting at 3 mgs per kg dose. Thus, we believe we achieved our goal to discover a better baclofen for chronic cough. Please move to slide 21. In a model of citric acid induced cough in guinea pigs, sub-chronically administered Compound A showed signs of improved efficacy and potency and no signs of tolerance in comparison to an acute treatment. Slide 22. As expected, signs related to safety and tolerability of Compound A remained largely unchanged under sub-chronic versus acute treatment regimen. Slide 23. In the model of ATP-potentiated citric acid cough in guinea pigs in a head-to-head comparison experiment, acutely administered Compound A and the P2X3 inhibitor had similar efficacy and tolerability profiles. Please move to slide 24. In summary, we have selected a clinical candidate for chronic cough with a robust reproducible antitussive efficacy of 1 mg per kg and a good PKPD. The compound showed a favorable developability profile in non-GLP tox studies performed in rats, dogs, and non-human primates. We are on track to start IND enabling studies early H1 2025. This concludes our prepared remarks on the progress of our R&D programs. Now I hand it back to Tim.
Tim Dyer: Thanks, Misha. So slide 25. Now before I move on to the financials, I would like to spend a few moments to speak about the new Neurosterix transaction. Slide 26, due to the excellent progress made by our R&D team in advancing our own partners pre-clinical portfolio, our M4PAM, mGlu7 NAM, and mGlu2 NAM programs reached a stage of development where they needed significant amounts of financing to progress into the clinic. Unfortunately, given the low market capitalization of Addex, raising the amounts of capital needed would have been extremely challenging and highly diluted to our shareholders. So we decided to spin out these programs and our platform into a new private company and raise the necessary capital directly into a new private company. We believe this is an excellent transaction for Addex shareholders as it has secured $5 million for Addex and removed the financing overhang on the Addex stock. We have retained a 20% interest in Neurosterix, so we can benefit from the upside from advancing the programs into the clinic, which is now secured by $63 million of capital from a high-quality investor syndicate led by perceptive advisors. As part of the transaction, we have divested our allosteric modulation technology platform, including the majority of our staff. However, we have entered into a service agreement with Neurosterix to ensure that we can access the skills needed to execute on our business strategy. Now, moving on to slide 27, financials. Now for review of our half-year and Q2 2024 financials. Following the Neurosterix transaction, we were required under IFRS to identify continuing operations related to our retained business and discontinued operations related to the divest business source Neurosterix. All income and expense items related to the discontinuing operations have been reclassed under a specific line of the comprehensive loss called net profit or loss from discontinued operations. Slide 28, starting with the income statement, which related to continuing operations, we continue -- we recognize $0.1 million of income in Q2 2024, compared to $0.6 million in Q2 2023. The primary source of revenue is research funding from our collaboration with Indivior, which is recognized as the associated research costs are incurred. Continuing R&D expenses primarily relate to our GABAB PAM program and remain stable at $0.3 million in Q2, compared to Q2 2023. Continuing operations in G&A expenses primarily relate to corporate development activities and remain stable at $0.7 million in Q2 2024, compared to Q2 2023. The finance result in Q2 2024 is primarily related to foreign exchange losses and to a lesser extent to interest income on USD cash deposit. Slide 29, now to the balance sheet. Our assets are primarily held in cash and we completed Q2 2024 with CHF3.8 million of cash held in Swiss francs and U.S. dollars. Other current assets amounted to CHF0.9 million, primarily relate to prepaid retirement benefit annually paid at the beginning of each year. Due to the Neurosterix transaction, we expect CHF0.6 million to be reimbursed in the short-term. Current liabilities of CHF0.9 million as of June 30, 2024 decreased by CHF1.9 million, compared to June 30, 2023, primarily relate to accruals and payables related to clinical research organizations and other outsourced service providers. Non-current liabilities of CHF0.1 million decreased by CHF0.5 million, compared to December 31, 2023, primarily due to staff transferred to Neurosterix. Now on to slide 30. Summarize, I hope you have understood how transformative the Neurosterix deal is for Addex. We've strengthened the balance sheet and secured the financing to execute on the development of our preclinical portfolio, including the very exciting M4 positive allosteric modulator program for schizophrenia. We've made excellent progress in our GABAB PAM program with our partner, Indivior, selecting a compound for development in substitutes disorders with IND enabling studies expected to start in the first-half of next year. Dipraglurant is ready to restart clinical development for brain injury recovery and our independent GABAB PAM cough program has demonstrated excellent preclinical efficacy and tolerability with IND enabling studies ready to start. We are validating partnership with industry, supporting investors and a strong balance sheet, which puts us on a solid position to deliver on our strategic objectives. This concludes the presentation, and we will now open the call for questions.
Operator: Thank you, dear participants. [Operator Instructions] And now we're going to take our first question and it comes from Lan of Raghuram Selvaraju from H.C. Wainwright & Co. Your line is open. Please ask your question.
Raghuram Selvaraju: Thanks very much for taking my questions and congratulations on all the progress on so many fronts. Firstly, I wanted to ask if you have some sense of the specific clinical indications in which you expect the chronic cough program to proceed with highest probability? Clearly, chronic cough is a serious symptomatic hallmark of many different respiratory, pulmonary, and inflammatory diseases, but I wanted to know which ones you consider to be particularly attractive? And what we might expect to be the clinical path forward? For example, would you be considering advancement in COPD or sarcoidosis or related indications, please?
Tim Dyer: We haven't finalized the clinical patient population to aim at. Currently we are considering refractory and unexplained chronic cough as one possibility, but we are open to the ideas of also aiming at COPD or IPF-related chronic cough. So this is still being discussed.
Raghuram Selvaraju: Also, just from a clarificatory standpoint, I wanted to know whether you use the terms MED and ED50 interchangeably or not?
Tim Dyer: Oh no, no, MED is minimum effective dose and ED50 is effective dose, is a dose that reaches 50% of the effect.
Raghuram Selvaraju: The confusion stems from the fact that sometimes they use the MED abbreviation to mean median effective dose, which is the same as ED50. But if you use it as minimum effective dosing, that explains how you are using those terms. Also, I wanted to see if you had any commentary regarding what you expect to be the most appropriate comparator or competitor molecules that have historically been tested clinically in chronic cough that you would look to be the benchmark for your chronic cough program, you know, in the clinical context?
Tim Dyer: We can consider baclofen and the other [GABAB PAM] (ph) those two have been tested in the clinic, their clinical studies, and they are agonist, so would like to achieve similar, if not better, efficacy with improved tolerability. So that will be our aim.
Raghuram Selvaraju: But not Camlipixant. Is that correct?
Tim Dyer: Well, I think clearly, we're expecting Camlipixant be standard-of-care by the time we get to later-stage development. So we will be definitely looking and to compare our compound with Camlipixant absolutely.
Misha Kalinichev: And we aim to achieve efficacy in a broader population of patients. As you know, up to 25% of patients do not respond to Camlipixant and we'll be aiming to have a higher percentage of responders based on the mechanism that we are using.
Raghuram Selvaraju: Yes. And I think probably many of the folks listening today will remember last year's transaction in which the developer of Camlipixant was acquired for $2 billion. So clearly, if you show broader efficacy than Camlipixant, that's potentially a very high-value program. Just wanted to ask also about some recent developments in the neurology neuropsychiatry space that may have applicability to the prospects of the Neurosterix spin-out. In particular, the label that was granted to Cobenzie, formerly known as CARXT, which was developed by Corona Therapeutics and which subsequently was acquired by Bristol. So I was wondering if there are any takeaways you got from looking at the label for Cobenzie that may provide more of an opportunity within the schizophrenia context, particularly with regard to the prospects for the M4 positive allosteric modulator?
Misha Kalinichev: Well, we haven't yet had a chance to have a good look through the label -- but what we do know is that it's quite a broad label, and therefore, this bodes very well for other M4 compounds that are going to come up for regulatory approval.
Raghuram Selvaraju: And in that context, you -- I believe, have also previously indicated that the pharmacophore question that you folks are working on with regard to M4 modulation is distinct from the emraclidine pharmacophore, is it not?
Tim Dyer: Yes, correct. It's a novel chemistry completely different from any described M4 chemistry that's out there, whether it's the emraclidine program or any of the other M4 PAM programs without our chemistry is different, yes.
Raghuram Selvaraju: Can you just refresh my memory with respect to when you anticipate the first of the Neurosterix portfolio compounds to potentially complete IND-enabling studies?
Tim Dyer: Yes. So we're on track to complete the IND-enabling studies in the middle of next year and rapidly file the IND, so that we can move into Phase 1 at the -- in the second-half of 2025.
Raghuram Selvaraju: Not sure if you're in a position to speculate at this juncture regarding the prospects for a public listing of Neurosterix itself?
Tim Dyer: I am certainly not at liberty to talk about the strategy of Neurosterix on this conference call. I'm afraid.
Raghuram Selvaraju: Thank you very much for taking my questions. Appreciate it.
Tim Dyer: Thanks, Raghuram.
Operator: Thank you. [Operator Instructions] Thank you, ladies and gentlemen. This brings the main part of our conference to a close. And I would now like to hand back to Tim Dyer for closing remarks.
Tim Dyer: So thank you, everyone, for attending our half year 2024 conference call, and we look forward to speaking to you again soon.
Operator: That does conclude our conference for today. Thank you for participating. You may now all disconnect. Have a nice day.